Operator: Ladies and gentlemen, good morning. Welcome to the conference call discussing Evolva’s 2015 Half-Year Report. I am Tsai, the Chorus Call operator. The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Mr. Neil Goldsmith, CEO. Please go ahead, sir.
Neil Goldsmith: Thank you very much, and welcome everyone to our first half 2015 results. From the company, you have myself; Jakob Hansen, our CFO; and Paul Verbraeken, Head of Investor Relations. I hope everyone has got the deck that we put out this morning which we're going to use to walk through the results. I will do the business section, Jakob the finances. I'll do the outlook and then we'll take of course questions. So I hope we can go through the long disclaimer and to business. So let me start with where the progress was on key products. I think we're very happy with what's happened in the first half of the year. We got Nootkatone launched last week. Sales will be into flavors and fragrances initially. We have over 50 companies that have had samples of the product. So they’ve been hope to evaluate the aroma of what we're making and the properties of it, and hopefully that translates into orders during the second half of the year, we expect it to. We've also importantly taken the first step towards getting Nootkatone approved as an insect repellent in United States. I'll come back to that on the next slide, because we see that as the main ultimate market potential for the product. On Resveratrol, we’ve had demand exceeding our expectations from a low base that you’ll see in the numbers. We had a constraint on production of the material during the first half of the year where we’ve needed to switch the contract manufacturer that we’ve been using. We’ve now successfully switched. We were using a manufacturer in Canada. We’re now using a manufacturer in Italy. So that means we now have new stock of the material and we expect sales to develop from here. But the good news from our point of view was we saw the demand was good for the product, and so we’re confident of our ability to ramp the sales. We’ve also introduced a new strain. so we’ve roughly doubled the effectiveness of the strain that we used now compared to the one we were using for launch, so that translates into a greatly enhanced lower cost of goods. And as I come onto, we see good progress on key accounts outside dietary supplements. Those are not going to translate into sales near-term, but we think they will drive sales mid-term. Then on Stevia, we’ve made strong progress on strain, on the purification processes to make that final product, on the approval process in the United States and on customer contacts. Of course that’s been done by Cargill. I’ll come back to some of those later. We’ve started, as we announced, in the first - earlier in the year, the start of the production preparation process, and we’re on track to launch next year, and we have told Cargill that we intend to take up our 45% rights, which is driving the need for investment. And as I’m sure, you’ve seen us driving the announcement we made this morning we intended financing which we’ll come onto. And then finally on Vanillin. Although we don’t have so much news on that, we know that IFF have significantly widened the number of products that are using our Vanillin, roughly doubled the total number of products compared to where it was at the end of last year. So we think on all of those we’ve made strong progress. So just to go on to first three products to cover key points in more detail. So on Nootkatone, we see there is - the main commercial potential for the product as we see it is going to be to protect people and animals, primarily pets, against being bitten by ticks or mosquitoes or bed bugs et cetera. We’ve shown that Nootkatone has good efficacy used at low concentrations against a whole range of not just pets shown on the right hand side of the slide. We’ve shown that it’s safe to use and it’s an approved food ingredient that with existing data on how much you can eat et cetera and it runs into kilos per day type levels, so it’s a very safe ingredient. We see it’s very pleasant to use. It smells nice. It smells sort of a note of grapefruit and it’s not oily. So all of those are things we see that support the use on the skin or in the home to protect yourself against these pests. It’s safe for the environment. We’ve got data on its degradation. So it biodegrades. If we look at the amounts we would be using even on our most wildly optimistic estimates than if you calculate the total amount of existing grapefruits those into the environment every year from grapefruit production, we’re still a fraction of that. We know that overcomes exist a resistance to existing products, so products like DEET and Permethrins, and you start to see, in some cases, significant resistance to those products. We know that our product works on a different mechanism from those and it doesn’t have the same resistance effect. So a mosquito that’s become resistant to Permethrin is not resistant to Nootkatone. And finally what we see is important is that the Center for Disease Control in the United States is very actively encouraging the use of Nootkatone, in particular for ticks, and the ticks that transmit lyme disease in United States, and for that matter in Northern Europe, but obviously CDC focuses the United States where they and we have shown that Nootkatone is very effective against both repelling and killing ticks, so that they - it represents hopefully the first effective way to reduce the risk of being bitten by a tick. So we think all of that combines to be a very attractive package. We can get a strong revenue potential. It’s not going to be revenue potential at least in the next couple of years, because we need to get it approved by the EPA in United States. So we - the EPA has an expedited approval process for products that counters by chemicals that occur in nature and so that was the first step in the process we have to take to get it confirmed that the EPA did see this product as a naturally occurring product and a biochemical which they have now confirmed. So we are now moving to the next stage, which is to provide the full package of data to the EPA around the products because we want to use it against pest or public health concerns around ticks, we need to provide an efficacy data which we have. But it’s not just about showing safety, it's about showing efficacy as well, but we also need to give them a data package on the safety showing the tolerance et cetera. So all of that has to be gone through. We expect that to be a two to three year process. Of course there is a risk it doesn't translate into approval but from this point in time we are optimistic it will. We are also looking at approval processes in other markets, not just the United States, but stress is at the moment most of our focus is on the United States. So that I think is Nootkatone. Obviously we can come back on the Q&A to point some of that. So on Resveratrol. I think the thing that we see as most interesting is the progress we're making on key accounts. We've always said that talking - we've always said that the initial sales will be into dietary supplements, which we see as being a relatively modest market, and that the real potential is to break out of dietary supplements into other uses. And we've made good progress on exploring some of these other uses. So just to go through some of these that we are working with one of the major practitioner dietary supplement companies to develop, I would say OTC products based on Resveratrol. If you're familiar with the PUFA store [ph] we were - there were products that were going into dietary supplements but there were also then premium products going into more classy pharmaceutical applications. That's very match how we're thinking with this. There has been good data historically on Resveratrol’s benefits on fish health, and we've started working with a major fish feed company to look at how that translates into rearing of farmed fish. We're working with a major orthopedic device company to look at Resveratrol and improving bones recalcification following injury. We're working with a leading sports nutrition company to look at its benefits on energy metabolism and recovery of athletic function. We're working with the top three confectionary company to look at healthy candies, with a major oral care company to look at this reasonably good data that we have on use of Resveratrol to reduce periodontitis and reduce the rate at which you develop it. So we are looking at that to see if it justifies use in a range of oral care products. And we're working with a large navy who are very interested in materials based on Resveratrol that are both bullet-proof and fireproof when they have data on that and we’re interested in supply to support that. So we don't know if those will translate into new applications, but we see this as an important because it would drive adoption of Resveratrol in a range of different markets, drive volume and drive - and also we think benefit base pricing for the product in many of these markets. I've highlighted that we're working with a number of major companies, but just to make a point, it's not always the major companies. So for example, we are working with much smaller companies there like joint health for horses [ph] where we see there is also great benefits, but those are companies that are trying to build strongly in that market rather being a major player. So then if I move onto Stevia. We are ascent on track to be on market next year. We've always been saying we see the total addressable market is $4 billion. So we decided to give a little bit more information on how we get to that number. So this little graph on the right side of the page, this shows you how - so the total circle is representing the $4 billion addressable market. So you can see that most of that we see as Stevia replacing high fructose corn syrup. The next segment is replacement of sugar and then finally competing in the high-intensity sweetener market. We haven't really looked at any other segments. This is really driven by use in beverages. So what we see high fructose corn syrup is particularly right for switching to a product like Stevia. So that's why we have that - we see 50% of the high fructose corn syrup market as being addressable by Stevia, whereas we've only taken 2% of the sugar market because - and that translates, if you were to look at just the beverage market, that would translate to 10% of sugar usage in beverages but sugar is used widely outside beverages and we have not regard - if we get sales into confectionary and yoghurts et cetera, we think that's upside on our addressable market projection. And then the least important part for us is replacement to existing high-intensity sweeteners. All of this is on a tonnage basis, so it doesn't necessarily translate into directly one-to-one value basis but it's not far off by that. So I hope that gives you a bit more understanding of how we’ve built the $4 billion number. So we have made good progress on the strain, on the purification process, on production and approval. Samples are now been sent to multiple customers by Cargill with very positive feedback. Cargill and we intend to introduce the product in the last quarter of this year, so that will mean for an example, that we will be able to organize tasting sessions for investors who wish to taste the product. And we've started work on the planning of the retrofit of the plant in Blair, Nebraska, which we are going to use for production of the product next year. As you know, we have an exclusive partnership with Cargill on this product, where we have the right to have 45% of the final business, for which, we have to take 45% of the investment in that business. We've told Cargill we intend to exercise the option subject to final terms which we expect to final before the year-end. This is going to cost us low tens of millions of dollars. We've - that's a phrasing that we've agreed with Cargill. I'll explain a bit more how it translates into the financing when we get on to that financing page. So that was on Resveratrol, Nootkatone and Stevia. Of course we have other things we've been working on. So during the year, we received milestone payments from Roquette, L’Oréal and Ajinomoto. We've now completed the work on Roquette program. So Roquette is now taking this forward into a launch product, and the same is true on the Ajinomoto collaboration, where Ajinomoto is now taking forward towards launch. Both of those we expect are, let's say, a couple of years out. So take that as a number that’s a range. We've entered - so we are not active on those two programs anymore except for some limited support on our partners, but we have entered three new collaborations in the first half of this year with Valent, which is part of the Sumitomo in agriculture, with Takasago which is the number five F&F company in several F&F ingredients, and we entered a second collaboration with Cargill model on our Stevia collaboration with them. And finally, just to note that our collaboration with BASF. We are now finally able to talk about what it was on because we and BASF have published a couple of scientific papers on some of the work. So it relates to a family of alkaloids which occur in ergot fungus, famous for inducing sort of rupture in eight weeks [ph] because it contains some psychoactive compounds but it also contains some very interesting anti-insect compounds which BASF were interested in as a new range of natural insecticides Not viable to make them synthetically, not viable to produce them by growing the ergot fungus, so we've built them a strain, the yeast strain that makes these compounds that they can scale and hopefully bring it to market. It’s not going to come to market anytime soon, because it's a novel insecticide and hence it has to go through a range of regulatory steps. So then moving onto other things that happened during the year. So we sold our last pharmaceutical asset EV-035, a preclinical antibiotic to Emergent of the United States. We've now completed all the work to get our scale-up lab operational in Copenhagen and you just see one of our fermenters there. The integration of Allylix has gone very well. We've shut down the site in San Diego, which was the administered site and concentrated all activities on Lexington, Kentucky, which is where they have their research and that site is working very closely now with our other research sites. It's responsible for Nootkatone product in particular. And if you haven't seen, we've significantly overhauled our website, so you can hopefully get more information on us now from the new website than the old one. And then one last slide just before I hand over to Jakob. This is really more just to give you a sense of where we are heading. It's a very interesting slide. We've used before to show the markets that we focus on and don't focus on. I'd say that if you look - if we look at our own products where we're bringing products to the market ourselves and aiming to sell ingredient on a business-to-business model to other companies, then we are increasingly focused on ingredients that have a functional benefit, whether that's to stop you being bitten by a tick or whether that's to improve the growth of a young fish, we see that as net translating into you buying the final product because it contains our ingredients and that translates into effectively pricing power for us. Nutrition and generic pharma. We would see that we could have some activity - we will have some activity, but we will also work with partners. And then in the commodity chemical space, we will only do it working with partners and there are some areas where we won't look it at all where the pricing is down into the single dollars per kilo. That's just trying to show you where we are focusing for own products and where you should expect our focus to stay over the next few years. Okay. And with that, I'll hand over to Jakob.
Jakob Hansen: Thank you, Neil, and good morning, everybody. Just as an introduction to our financials from our side, they have expected more or less as expected. We have significantly higher revenues. We also have higher costs, which reflects very much the consolidation of the Allylix financials, not least to depreciation on their IP. We have more broadly increased activities for manufacturing and sales and marketing. And then we have one thing which wasn't quite expected which is the provision for the potential repayment for the old biodefense contract. And then thirdly, we have a relatively modest increase in our cash flow. So all of that I'll come back to. Starting with revenues. They are up 66%. As Neil said, the product sales of Resveratrol were relatively modest simply because we had limited supply to sell but the demand is developing very nicely. We had CHF 4 million inflow from the sale of EV-035 to Emergent, where we booked already CHF 1.5 million in the second half of 2014. And then we had various income from our research activities, the milestone payments, but also ordinary research fees from our various partners. So all in all, revenues in the first of CHF 8.3 million. So moving onto the operating expenses, starting with the R&D costs. So they went up quite significantly. And as you can see, Allylix represents about CHF 3.9 million of that increase and CHF 1.6 million is depreciation for Allylix and particularly the IP. So that depreciation reflects simply the payment or the purchase price to the Allylix shareholders and doesn't have - obviously doesn't have a cash impact which is important. We made a provision to DTRA, which is our former partner for the biodefense contract of CHF 2.9 million. I'm happy to talk a bit more about that later if people want to know the details. And then we had additional costs on downstream processes including our first activities with the scale-up lab facility in Copenhagen and also some of the work that Neil was referring to on exploring additional applications for our products. So all of that added to the R&D cost. We had manufacturing cost of CHF 0.9 million, which includes both the actual cost of goods, so the payment to the CMO that makes the product, but also our internal staff costs, and we obviously now have a team of people with manufacturing expertise. And then finally the SG&A cost went up. That also reflects the consolidation of Allylix, but also that we are now investing more in our sales and marketing activities, so that will also impact our future SG&A cost. Then moving on to cash flow. We started the year relatively high with CHF 61 million, because as you may remember, we had an investment by Cargill in December and we also sold shares to cover liabilities that we had taken over from Allylix at the time of acquisition. So in a way, the CHF 61 million was artificially high due to that particular sale of shares. We had inflow from financing of CHF 2 million at least due to exercise of options. CapEx of about CHF 1 million, and then our operating cash flow which is of course the more interesting one is CHF 15 million out and we have indicated that, of that CHF 15 million, CHF 3.7 million relates to the settlement of Allylix liabilities, and again it’s something we can maybe go into more detail during the Q&A. So the underlying operating cash flow increased amounted to about CHF 11.3 million, which is CHF 1.8 million up from last year. So yes, the P&L costs increased significantly but the actual operating cash flow which I think is the important one increased rather modestly. So that gives us a net cash position at the end of June of CHF 47 million, so I would say we are still well-capitalized but we also want to make sure we have sufficient financial firepower to implement all the plans that Neil was talking about. So that's why we have indicated the financing. And then lastly, just briefly update on the stock development volumes, and I think that's important. It have developed very strongly in the first months of 2015, of course this summer then have reduced the activity again, but overall we are very happy with the liquidity in our stock and I think that's very much due to the high free flow we have, as you can see in the pie chart, still relatively small number of people with big positions. So there is a lot of trading going on every day among lot of people outside that group of investors. So with that, I'll hand back to Neil.
Neil Goldsmith: Okay. So to talk through the outlook briefly and then also the financing. So if we go to the news flow over the next 16 months, then we expect to launch Valencene before the end of the year. This also comes from the Allylix transaction. We don't expect that to be a major product, but it will be complementary to our Nootkatone sales. And then next year, Stevia and Saffron. We expect to see a growth in revenues from our three launch products during this period. We expect to see additional partnerships being signed and additional milestone payments flowing into the company. So all that we continue to believe will be driving our revenues over this period upwards. We will be introducing Stevia product in the last quarter of this year and then we expect the news flow from then through to launch in 2016. And during this period then product revenues will start to contribute meaningfully to the top line. If we look on the finances, then we expect this year revenues to be around CHF 14 million, that's of course subject to various milestone achievements and our product sales develop. We expect product revenues to be meaningful in the second half of this year, although there will still be a majority from partnerships. We do expect the operating cash outflow to increase significantly due to the manufacturing and launch of key products above all Stevia which I'll come back to. And so that then drives the potential financing on the next slide. So we've announced as well this morning that we, subject market conditions, are looking at doing a potential financing above all to support the Stevia launch but also other growth initiatives. We envisage this as an equity raise targeting CHF 60 million, most likely from a rights issue. We've had a number of our shareholders ask that we consider doing a rights’ issue rather than a private placement, and so we are certainly considering that request strongly. The use of those funds, the most important and we think that will represent about half of the funds is to build a manufacturing infrastructure alongside our partners, notably Cargill and notably on Stevia, so that we are in a position to launch Stevia with decent volumes in 2016. We try to take 45% of the Stevia costs which we have said is in the low tens of millions of dollars through 2017, so spent this year, next year and 2017. From our point of view, that should be seen as a number that starts with a two or three but we're not able to give higher guidance, stronger guidance on that but if you were to take a number of around CHF 30 million, then that would be a reasonable midpoint to be thinking about on the investment that needs to go into the manufacturing infrastructure around Stevia from our point of view. So we think this part of it represents roughly half of the total of CHF 60 million raise. We also want to use some money to keep investing in driving our product profitability, as you have seen on Resveratrol and Nootkatone, we've improved the cost of goods since launch significantly. We want to keep doing that for all of our products including Stevia over the next couple of years, which means continued investment in both the yeast strains and in the purification processes to recover as much product as we can. We want to keep investing in driving value-added application data, sort of things I highlighted on the Resveratrol slide, so that we can show strong benefits for our products in areas that translate into meaningful benefits for our customers and for consumers. We believe that both supports pricing for our ingredients and opens up new markets. We want to spend on getting our products approved, notably on Nootkatone. So to bring Nootkatone through the regulatory process in the United States, we believe it will cost us somewhere between US$3 million and US$5 million, and of course we want to look at other markets as well as United States. We think that represents a very sensible investment in building a proprietary position for that ingredient in control of ticks et cetera but we need to make that investment. And finally, we want to invest in expanding our sales. We're very much - we have a number of distributors in place, but we are currently limited, for example the number of key accounts we can handle at any one time in building new applications for Nootkatone and for Resveratrol and we want to widen that sales activity and some related sales channels around that notably, for example, increased use of the internet for sales. So those are the areas we want to spend - to focus on over the next couple of years. So very much driving the revenue line for our products, driving the launch, driving the profitability now that we have got products in the market and as I said, the single biggest element of that is to take our 45% position on the Stevia launch and probably closely follow-up on that. So that was the end of the presentation [ph] from us. I think we would now open for questions. We'll take questions from the room first and then when and if we exhaust that, then we can move to questions from people on the phone.
A - Neil Goldsmith: I would say on an annual basis, we are assuming something around the 10% level. So we start of course with relatively low - from a low base in the first half and now we have the second product Nootkatone, so that's going to contribute. So I think 10% is the best guidance I can give.
Unidentified Analyst: Okay, thanks. That’s great, Neil. And the second one is on the financing of this manufacturing roughly CHF 30 million. Can you also may be elaborate a bit which other products you will start to produce yourself?
Neil Goldsmith: So I think we are looking at - we currently are making our products at a range of different sites. We think it's probably logical to centralize those onto ideally one site. To do that, we would need to make some investments alongside whichever partner or company we go with. So I don't think we can say specific into one of those products, it will depend a bit on which product we move and which products we move and which products we could stay as they are. So we are in discussions with a number of potential partners including of course the current manufacturing partners we have, about where might we consolidate products. One of the things we are also looking at and we mentioned it in the half-year report is Vanillin is currently being made by a CMO for IFF and we are looking at taking over that and potentially integrating that also with the Resveratrol and Nootkatone, and for that matter Saffron production.
Unidentified Analyst: But production would be mainly be in Copenhagen, in Switzerland?
Neil Goldsmith: No. Production will not be in Copenhagen or Switzerland. So production is currently in North America and Italy.
Unidentified Analyst: So but the same is your CMO, not [indiscernible].
Neil Goldsmith: No, we're not taking them in-house. We continue to work - we will continue to do this through CMOs and through partners, but if we want the CMO to improve a line to focus on one of our products, it's certainly possible that we will need to co-invest alongside that CMO so that comfortable making that investment and improving the line. But no, it's not taking in-house. It’s continuing to work with partners.
Unidentified Analyst: Do you think [indiscernible]?
Neil Goldsmith: Yes.
Unidentified Analyst: And I would like a little more color on your Stevia project with Cargill. So when you - I know you weren’t booking the revenue as a revenue but as income but more down year-after-year [ph]. But what is your estimated guess on how much that would be - how much as we look onto this year profit?
Neil Goldsmith: So I think long-term - so maybe just to walk you through what we see as the potential for Stevia, we believe that can be, let's say, at the revenue line, a $1 billion revenue line product. Obviously as you mentioned, we don't see that number ourselves, but we could certainly imagine that such a product would be providing 100 million in P&L cash flow to us.
Unidentified Analyst: Okay. So when you say $1 billion and you get 4% to 5% of product that…
Neil Goldsmith: So if you were to look at to take two peer groups in the public domain, if you were to look at Novozymes or Croda, then they would have EBITDAs in the 20% to 25% range. So if you're applying to a $1 billion revenue line product and then take up 45%, that's where I'm coming to 100 million.
Unidentified Analyst: Thank you. And then can I have one more question regarding. So I missed your - if I got this correct, so your manufacturing costs were CHF 0.9 million and that was for the Resveratrol product that you...
Neil Goldsmith: And you can't look at it just being for Resveratrol. That's also investing in the manufacture of Nootkatone, that's helping to some extent Cargill on the development of the manufacturing process for Stevia. So it represents - a large part of that is the cost of building our internal manufacturing team which works across our product portfolio.
Unidentified Analyst: Okay. Thank you.
Unidentified Analyst: I had a question on Nootkatone. Obviously pest control will be the biggest potential for the product and you are currently in the regulation process with the EPA. Can we assume that you would engage into a partnership with product once you will have the [indiscernible] indication?
Neil Goldsmith: So we intend to sell the ingredient. So we won't ourselves to be launching a product to consumers for control of ticks, but we aim to be selling that ingredient to companies that then formulate and do market products to consumers. So we are currently talking to a number of such companies about their interest in starting to use Nootkatone in their product suppose that some way out, but we envisage selling ingredient to multiple companies in those markets.
Unidentified Analyst: Thank you. If I may follow-up, on Stevia, we have seen announcement from the DSM who is obviously competing in that field as well, I guess you have seen that. Could you shed some light on the competitive landscape? Do you still expect to be first to market with your product or how are the timelines?
Neil Goldsmith: Yes. So we are obviously aware of DSM’s activities. We believe we will be first to market. We are focused on next-generation Stevia products that tastes significantly better than the current Stevia products, and we have very strong IP on the manufacturer and the pathways you need to make those products, which we believe give us a very - and Cargill gives a very strong proprietary position. So we believe we are extremely well placed to be the dominant supplier in this market. As far we are aware of DSM’s activity, as far as we are aware, there is no other significant company developing a fermentation process and we do believe we are a long way ahead of DSM.
Unidentified Analyst: From the product profile you stated, sugar-like, it has no aftertaste and has no bitter taste.
Neil Goldsmith: That was Cargill's statements.
Unidentified Analyst: Okay. That was Cargill’s statement. But do you assume giving that profile that your Stevia products could be a real substitute for sugar in the beverage industry?
Neil Goldsmith: Well, we believe that the taste of our products is extremely good and I hope to be able to prove that to you later this year. So we do think that represents the potential for having many more consumers switch away from calorie-fixed sweeteners towards zero-calorie sweeteners. So I think as we put in our projection, we still only think that 2% of the sugar market is addressable. So we are relatively conservative in the amount of switching we believe will occur from sugar to Stevia. We are more aggressive on the level of switching from high fructose corn syrup to Stevia. So the - obviously the honest answer is no one knows what will be the level of switching this does, but we're just trying to be reasonably in our view conservative as to what we think might happen.
Unidentified Analyst: Question to Vanillin. Product has sales-wise the CHF 0.2 million you recorded in the first half versus exclusively related to Resveratrol. What about Vanillin? You stated that it’s used in many more products so far but we haven't seen any the revenues from royalties, so.
Neil Goldsmith: So we have a profit share with IFF on that ingredient as well as milestones relating to when certain sales level are hit, but we don't expect to see a revenue flow Vanillin from IFF until next year, but we do expect to see it next year.
Unidentified Analyst: And maybe a last one, if I may. If you look on the cost base R&D and SG&A, if you exclude the one-offs in the first half, would that be the reasonable run rate for the second half or do you expect the cost level to increase?
Neil Goldsmith: I think it will largely be similar in the second half. Of course we do have increased manufacturing in that period, so that would go up. And I guess we have added to the headcount also in the first half, so you should expect some increase but nothing very significant.
Unidentified Analyst: Thank you.
Neil Goldsmith: Other questions from the room, because if not I'll ask the operator to handle some calls from the line. Yes.
Unidentified Analyst: Yes. I have a technical question. You announced the date if you want to retrieve you don’t, why you don’t [indiscernible] behind that.
Neil Goldsmith: We don't do it now because we are simply not finalized our plans for doing the financing as of this moment, but obviously we've said in the next few months. So you can assume it's reasonably advanced in this planning. Maybe we could switch to - if there were any questions on the line, we can go back to the operator.
Operator: The first question from the phone is from Julian Lakin from Mirabaud. Please go ahead.
Julian Lakin: Hi, good morning. Good morning gentlemen. Hoping to carry on the slide. Could I just - most of what I was going to ask has actually been covered already but first a couple of points of detail. On Vanillin, I seem to have a thought in my mind that you actually did expect some revenues in 2015 or am I wrong on that? So it does - it strikes me there might be [indiscernible].
Neil Goldsmith: No. I have to - hi, Julian. You're wrong on that. We have not at any point said we expect revenues for 2015 from Vanillin.
Julian Lakin: Okay, that's absolutely fine. And then also on Nootkatone, we are talking about three-year approval time scale for the USA. Do you have any thoughts about approval time scale say for Europe, which I will guess should be the next place to attack?
Neil Goldsmith: So with my apologies I think you are wrong again to assume that Europe will be the next market to attack. Europe has one of the slowest processes for approval of these ingredients, so we would currently imagine that Europe would be one of the last markets to - that isn't to say we won't start the process, but because it has a relatively slow process it will not be prioritized so highly. I think we are looking at markets for example in Asia where there is obviously a major need for protection against biting pests and relatively straightforward approval processes.
Julian Lakin: That was lovely. Thanks very much.
Operator: Gentlemen, there are no more questions.
Neil Goldsmith: So are there any more questions in the room? Yes, there is one. Yes.
Unidentified Analyst: Perhaps maybe just for Saffron, to clarify what is your exactly timing to manufacture because now Saffron is [indiscernible].
Neil Goldsmith: So our belief is that three molecules are primarily responsible for that sensation of Saffron which are; safranal for the fragrance, crocin for the color and picrocrocin for the taste. We are making all three of those molecules. I think it's probably fair to say that we see picrocrocin as the most important because of the taste. We see as - from the work we've done to-date, the taste is the most important feature of Saffron for most people.
Unidentified Analyst: Thank you. And then how does this disconcert the Saffron line that is available in the market [indiscernible].
Neil Goldsmith: So there are several molecules which are completely synthetic which are simply - so the number of F&F companies are trying to get approximations of the taste or fragrance of Saffron from synthetic molecules. You will see that widely, but it's really not Saffron. So it is another form of fake Saffron fundamentally. Yes, one more.
Unidentified Analyst: Thank you. One follow-up on Stevia. You also talk of the steviol glycosides but you never disclosed actually the product. I’m not sure if you are in a position to do that, but we do not know is it Reb M, is it Reb D or anything else?
Neil Goldsmith: So we're not trying to be particularly cryptic here. Our focus is Reb D and Reb M. Those are the two molecules we’re focused on for launch.
Unidentified Analyst: Just maybe one follow-up on Stevia again. With the connection for the Reb D and M, is the product interest as well or is that extra [indiscernible] yeast produced within the cell or do you take the product out of the solution?
Neil Goldsmith: So we take the product out of solution. So the yeast is designed, so the product is obviously made inside the yeast cell, but then the yeast is designed to pump the final product out of the cell, so that we recover the product from - so we filter the yeast off and then we recover the product from the process [ph].
Unidentified Analyst: So you don’t need to defrag the cell?
Neil Goldsmith: No. Any more questions? Okay. So I think we are done now with the meeting. I’d like to thank everyone, both in the room and on the phone for your attention. And no doubt we will talk and meet many of you in the futures to come. Thank you very much and thank you to the operator.